Operator: Good afternoon. My name is Crystal and I’ll be your conference operator today. At this time I would like to welcome everyone to the fourth quarter earnings conference call. All lines have been placed on mute to prevent any background noise. After the speaker’s remarks, there will be a question-and-answer session. (Operator Instructions) Thank you Ms. Anderson, you may begin your conference.
Karli Anderson: Thank you, operator. Thank you for joining us today to discuss the company’s results for the fourth quarter 2008. The call is also being broadcast live on the internet through our website at www.coeur.com where we've also posted the slides that accompany our prepared remarks. A telephonic replay of the call will be available for one week afterwards on our website. On the call today here in Coeur d'Alene are Dennis Wheeler, Chairman, President and Chief Executive Officer; Mitchell Krebs, Senior Vice President and Chief Financial Officer; and Don Birak, Senior Vice President of Exploration. We also have several of our executives on the line who’s called in from our mine site. This includes Richard Weston, Senior Vice President of Operations, who is dialed in from our Palmarejo mine in Mexico; Don Grary, Vice President and General Manager calling in from San Bartolome in Bolivia and Humberto Rada, President of Coeur South America and current President of Bolivia’s National Mining Association, who is on the line from La Paz. Any forward-looking statements made today by management come under securities legislation of the United States, Canada and Australia and involve a number of risks that could cause actual results to differ from our projections. Please see our full cautionary statement on slides two and three. With that I’d like to turn the call over to Dennis.
Dennis Wheeler: Welcome and thank you for joining us on the call. In the fourth quarter and January of this year, we successfully navigated frozen capital markets to continue investing in and completing our new long life mines. We have entered 2009 a much stronger and vibrant company. With two new silver mines, a rock solid balance sheet and the industries leading production and reserve profile, Coeur has strengthened its position as the leader in silver. Today’s results are the nexus of the strategic plan we laid out three years ago. We’ve not wavered from that plan, which included the development of two of the world’s largest silver mines, both of which have been successfully constructed; a focused exploration program directed towards our mine sites, which has yielded industry leading reserves. Thirdly, cost discipline, where we are well on our way towards meeting the expected 40% reduction in G&A expenses. Fourthly, investments in human capital, including the establishment of a top notch technical services team at the corporate headquarters and expanding executive leadership in both our North and South American operations and finally, a capital structure to support our growth. Our cash stood at a comfortable $100 million as of January 31. The culmination of these efforts could not have come at a better time. Precious metals, our silver and gold are on an upward trajectory. We think Coeur shareholders are in the right place at the right time. Our industry is the place to be and as investment demand in silver and gold stores, Coeur will meet that demand with rising production and lower cash operating costs. We’re unique among primary silver producers and that we are exclusively focused on precious metals production and have no exposure to base metals. San Bartolome in Bolivia is operating at engineering capacity and made a full contribution to fourth quarter results, while Palmarejo reports its first silver and gold next month. These state of the art new operations will contribute to an expected 66% increase in our total silver output this year, to 20 million ounces in 2009 and accompanied by an 85% increase in company gold production. We expect our two new silver mines, long in life to generate robust cash flow growth over the coming years. In addition to new production online, we continue to divest the invest strategically in exploration and development. Today, we're pleased to report that Coeur’s reserve base leads the industry in primary silver reserves. Coeur reported a company record $248 million ounces of proven and probable silver reserves at year end, an increase of 15% over a year ago and we also grew our gold reserves by 54% to $2.3 million ounces. Just as impressively, the Coeur team ended the year with an additional $236 million ounces of measured and indicated silver resources. One of our near term objectives will be the conversion of resources into economic reserves. Finally, Coeur strengthened its balance sheet. Despite turbulent market conditions, we reduced our debt load by nearly $50 million thus far in 2009 and as of January 31, Coeur had a substantial cash position of approximately $100 million. Meanwhile, gold and silver prices continue to attract investors as a safe-haven investment. Silver has clearly reaffirmed its position as a monetary metal in our judgment and we expect these strong silver prices to favorably impact our cash flow. In the fourth quarter, Coeur continued to ramp up production while lowering costs. We produced $4 million ounces of silver in the fourth quarter, an increase of 28% year-over-year. Our San Bartolome mine is operating an engineered production levels today and contributed substantially to fourth quarter production. We had cash operating cost for the quarter of $5.60 per ounce of silver. This is notable when you consider that our quarterly gold production was lower from a year ago, due to the temporary cessation of mining at Cerro Bayo. The cost reduction efforts we outlined in our last earnings call have already impacted our income statement, yielding a 22% reduction in G&A costs quarter-over-quarter. For the full year, Coeur produced $12 million ounces of silver at very competitive cash costs of just $4.75 per ounce and we reported $11.6 million of operating cash flow. This year, our shareholders will begin realizing the full benefits of our investments at San Bartolome and Palmarejo. Silver production will increase by 66% this year to 20 million ounces and our gold production will increase 85% over last year's levels to 83,000 ounces. So, the building blocks we have put in place and the strategic plan this team has executed over the last three years, have resulted in two of the newest and largest silver mines in the world. We'll complete our capital spending program with just $65 million remaining for the year. The team will be delivering dramatic production growth with a strong balance sheet and excellent expiration potential. Now, I’d like to ask my colleague Richard Weston to discuss our operations in more detail.
Richard Weston: Thank you, Dennis. The most important operational development is at our Palmarejo silver and gold mine in Mexico. Today we can report that operating and construction activity with Palmarejo remains on schedule, with our fourth 404 expected in March. Underground mining activities are progressing very well, with over 6,100 acres of underground development taking place deriving good exposure to the oil body. Stock piling of oil from both underground and activity mining has commenced in preparation for purchasing. Construction activities are also well advanced. The (Inaudible) has been completed and generating path of commissioning activities and the water supply has been established. Commissioning to the plant has commenced into the Gulf and so gold and silver in March remains on schedule. On the next few slides, we’ve provided some recent photos of Palmarejo as it needs commercial production. You’ll see that Palmarejo Processing Site, Power Station, Grinding Area, Flotation Area, Leach Area and Tailings Facility. These are all state of the art facilities and we are very proud of the high quality of construction. I’ll now turn the call back to Dennis to discuss operational leadership structure that is being established.
Dennis Wheeler: Thanks, Richard. As we mentioned at the outset of our call, to support our investments in mine development and production, we’ve also invested in human capital. We’ve established a technical services team at our Idaho corporate headquarters, which provides immediate support and good expertise to each one of our operating sites. This team is led by Leon Hardy, President of North American Operations, who reports to Richard Weston. We further strengthened leadership in Bolivia, with the appointment of Humberto Rada as President of Coeur South America and Bolivia, and Don Grey, as our permanent Vice President and General Manager on the ground at San Bartolome. Humberto is also President of the Bolivian Mining Association. Don and Leon Hardy, help direct operations in the fourth quarter of 2008 at San Barts, which was the turning point for San Bartolome when the mine achieved design capacity. Production and costs have remained on target since. To talk more about San Barts, I’ll turn the call over to Don Grey, who is currently in Bolivia. Don.
Don Gray: Thanks, Dennis. At San Bartolome, the world’s largest pure silver mine, we’re now in full operation, with a targeted average monthly production of approximately 750,000 ounces of silver and a total annual targeted production of 9 million ounces for 2009. I do want to take a moment here to acknowledge the very fine effort put forth by our entire workforce at San Bartolome. They’ve done an outstanding job of getting the operations up and running and we want them to know that Coeur recognizes and appreciates their contribution. Looking forward, cost reduction and containment is and will continue to be a major priority at San Bartolome. In fact, we’ve already reduced our operating cost per ounce nearly 50% since commencing operations in late last summer. While San Bartolome is close to meeting our expectations for both production and costs, we will continue working to further enhance its economic efficiency as the year progresses. I’ll now turn the call over to Mitch Krebs to discuss our financial performance.
Mitchell Krebs: Thanks, Don. As Dennis mentioned at the beginning of the call, we’ve started 2009 with a substantial asset base and sturdy balance sheet. Total assets were $2.9 billion and shareholders equity stood at $1.8 billion at year end. We have also turned the corner in terms of the company’s liquidity and cash flow profile. We have a comfortable cash position of approximately $100 million as of January 31. With projected 2009 operating cash flow of an additional $100 million and remaining capital expenditures during the year of about $65 million, the company feels confident about its financial position going forward. The company’s balance sheet is also improving due to debt reductions. The amount of floating rate convertible notes we issued in October of 2008, has been reduced by nearly $50 million as the holder continues to convert the notes into common shares. We expect the remaining $25 million of these notes to be converted this quarter. Coeur’s intensive capital spending plan of the last few years is substantially complete. In the first half of 2009, we’re making the transition from being a user of cash to a generator of cash. With the bulk of our spending behind us, we now expect to generate positive net cash flow in the second half of the year, as San Bartolome and Palmarejo contribute to our financial results. Cost reduction and controls remain a key priority at both the corporate level, as well as at our mine sites. While we’re pleased to have reduced G&A expenses by 22% quarter-over-quarter, our efforts continue to rationalize our operations and to reduce costs wherever possible, towards our goal of a 40% reduction. This ongoing cost reduction strategy is focused in three areas; operating costs at producing mines, non-operating costs throughout the organization and capital cost reductions and deferrals. The company has been successful in all three areas since implementing this strategy in October, and management will remain vigilant in containing and controlling costs going forward. As Palmarejo moves into production and begins contributing to our financial results, we will begin to amortize our investment there over the current mineral reserve base. These non-cash items will impact our income statement. In addition, due to several non-cash adjustments flowing through the company's income statement in the fourth quarter of 2008 and going forward, management will focus its reporting of financial results on operating cash flow as the main metric. Operating cash flow for Coeur is defined as net income plus depreciation, depletion and amortization and other non-cash adjustments before changes in working capital. On the next slide, we've charted the sensitivity of the company's operating cash flow to the silver price. While we currently expect to generate $100 million of operating cash flow in 2009, based on $900 gold and $13 silver prices, you can see the trajectory as metal prices continue to strengthen inline with recent trends. The company's shares provide investors the significant leverage to changes in metals prices. For every 10% increase in prices, Coeur's operating cash flow increases by approximately 30% or approximately $35 million. With that, I’d like to turn the call over to Don Birak, to discuss our exploration results.
Don Birak: Thanks, Mitch. Today we released excellent 2008, year end exploration results. We increased our mineral reserves and resources in every category year-over-year for both gold and silver. The strong inventory is the largest reserve base of any primary silver producer and more significant considering it’s net of last year's production. In 2008 our exploration program focused primarily on our large land packages adjoining our operating properties in Mexico, Chile and Argentina. Due to these efforts the Guadalupe deposit and the Palmarejo district nearly doubled in size. We discovered a new vein at Cerro Bayo and we have positive results from drilling at Joaquin, a new property at northwest of our Martha Mine. We also integrated three new properties La Currita, Palmarejo, Nico and Mirasol and (Inaudible) in Northern Chile into our exploration program. In 2009, we will build on last year's success with a $17.6 million exploration initiative, primarily devoted our operating properties. Some key objectives for 2009 are to define new reserves for Cerro Bayo and to support its restart in 2010; to establish new resources and reserves to Martha; to expand proven and probable reserves at Palmarejo and to attach new targets there as well. Within Palmarejo, we're reporting sizable increases in all resource and reserve categories. Just the measured and indicated resources grew 52% for silver and 37% for gold since our feasibility was released in June of 2008. In late 2008, we made an exciting new discovery at Cerro Bayo, which we have named Delia, shown on slide 27. At Delia, we've encountered wide silver and gold bearing vein intercepts, just 500 meters from our ore processing facility. Our 2008 drilling at Delia defined a main zone and a new extension about 600 meters to the south. The main zone occurs near the north end of the structure, which now extends over 1 kilometer in strike and up to 100 meters vertically. Drilling continues today to further define the main zone and to test the full potential of this long new structure. With that, I'll turn the call back over to Dennis.
Dennis Wheeler: Thanks Don. I’d like to just build briefly on my initial comments regarding the attractive macro environment for precious metals. The price of our silver has risen three times faster than the price of gold since the beginning of the year and silver, it appears that it has tremendous appeal as a monetary investment and store of value, particularly during these times of economic stress. Several market commentators are starting to catch on to the fact that the technical indicators are looking extremely favorable to silver. We've seen unprecedented investment demand in both silver and gold ETF holdings and they stand at record levels. The iShare’s ETF, the largest of Silver ETFs now hold over $245 million ounces of silver, representing roughly 30% of the total silver fabrication demand in a year. Any changes in fundamental demand for silver are readily addressed by the increased investments demand. During the recent rally on silver, there remains some dislocation in the historical ratio of silver to gold prices. Over the past decade, we’ve seen this ratio below 60:1, silver to gold price and after a brief period last year, it was even above 80:1. We’re now seeing a return to historic levels, as silver tracks gold as a safe-heaven and flight to quality. This would indicate that $1000 gold price could well translate into silver prices above $16. This next chart shows the relative performance of silver and gold along with the base metals going back to 2005. We find this very interesting, as the prices of gold and silver as you can see, began to diverge from pricing of copper, lead and zinc starting in November. Over 70% of world’s silver supply comes as a by-product of base metal mines. The decline in base metal prices has resulted in the closure or suspension of mining at many base metal mines around the world and we would expect to see a drop-off in silver supply from these operations because of this feature. We think this supply dynamic will be very supportive of silver market prices and a benefit where Coeur’s production is 100% precious metals, unlike most of our peers who have significant base metal exposure. To wrap things up again, I’d like to highlight, that Coeur has the largest silver reserves among our peers in the primary silver industry, the highest percentage production growth for 2009 and I believe the strongest team. We’re positioned for major production growth this year with our two new mines that have been completed in the last nine months and even as commodity and input prices rose last year, the Coeur team proactively managed its expenses. We invested in human capital by establishing an in-house technical services team, to provide all of our projects with immediate support and expertise. We have a deep bench at Coeur and it will get stronger. With the heavy investment now behind us, Coeur is transitioning into a long term phase of positive and significant cash flow generation for our shareholders. In the next few months, we look forward to providing periodic updates on production and ramp up at Palmarejo, news on the U.S. Supreme Court decision on Kensington and more evidence of our efforts to lower cost and boost cash flow. While the financial markets still remain under stress, our silver market is strong and Coeur is well positioned for success. With that, we’d like to open up the call for questions.
Question: (Operator Instructions) So our first question comes from the line of John Bridges with JP Morgan.
John Bridges - JP Morgan: Good afternoon, Dennis. I suppose it’s still morning for you, sorry about that.
Dennis Wheeler: Yes. Thanks, John.
John Bridges - JP Morgan: Just wondered, you seem to be liquid enough based on CapEx. How much money do you think is going to get consumed in the pipeline work-in-progress as you ramp up production at Palmarejo?
Mitchell Krebs: Yes, John. Hi it’s Mitch here. How are you?
John Bridges - JP Morgan: Hi fine and yourself?
Mitchell Krebs: Good thanks. As we’ve said, we have a full year CapEx budget at Palmarejo of approximately $100 million with about $60 million of that having spent in the first two months from here, then that will decline gradually as the mine begins to ramp up in March, April, May and June.
John Bridges - JP Morgan: Right and so the CapEx numbers that you speak of, do they include the money that will be going into the pipeline or is that a separate number?
Mitchell Krebs: Say that again, John. I couldn't quite catch the word you used there.
John Bridges - JP Morgan: The pipeline that concentrates that you're going to be producing or the pipeline material, how much money is going to get taken up in that?
Mitchell Krebs: Oh, I see. The working capital leg, as we build up.
John Bridges - JP Morgan: Right.
Mitchell Krebs: Yes, that's in the $100 million John and it's reflected in the $100 million as it's broken out month-by-month. Clearly that will be the bulk of the CapEx in April and May as we see that working capital swing as we go from startup to full scale production.
Mitchell Krebs: Okay, fine and then perhaps a follow-up for Don maybe. I see there's been a pickup in the resources at Endeavor. How do you see that being translated into reserves?
Don Birak: Hi John. Well, I think we feel pretty good about the invested, both at Endeavor and Broken Hill. They have a strong resource and reserve base and we work pretty closely with the operators on their program going forward. Endeavor people spend a good amount of mine exploration and we're comfortable with their program.
John Bridges - JP Morgan: Any thoughts on how and what's needed to take it into reserves?
Don Birak: I don't think at this stage John. I think we just want to see them continue to focus on exploration.
John Bridges - JP Morgan: Okay, thanks guys. Best of luck.
Dennis Wheeler: Thanks John.
Operator: Your next question comes from the line of Andrea Cheung with Cormark Securities.
Andrea Cheung - Cormark Securities: Good afternoon. I just had a couple of quick questions. The first one was relating to the tax benefit that we saw in the quarter. Can you just explain what the nature of that was?
Mitchell Krebs: We have Tom Angelos with us here, our Chief Accountant. Tom.
Tom Angelos: Yes, the tax benefit we booked during the quarter was primarily related to a loss in Mexico due to foreign currency exchange.
Andrea Cheung - Cormark Securities: Okay, alright and then in terms of production from Palmarejo, you've given a number of $5.3 million ounces for '09. Can you give us a sense of when you expect to achieve commercial production?
Tom Angelos: Well, I think we've indicated that we expect production to start there in March and normally you would expect I think a cycle, Leon of what 90 to 120 days before we consider full commercial production to be achieved at a normal operation?
Leon Hardy: That's correct.
Andrea Cheung - Cormark Securities: Okay, and so your $20 million ounces for the year includes the 5.3 from Palmarejo then? The $20 million…
Tom Angelos: That's correct
Andrea Cheung - Cormark Securities: Okay and then my last question just relates to grades at San Bartolome and Martha. Can you give us a sense of what the grade profiles are going look like over the next couple of years at those operations?
Don Birak: Andrea, this is Don Birak. The numbers we put out there so far show the total reserves and resource for all of our operations; typically we don't forecast grades beyond that.
Andrea Cheung - Cormark Securities: Okay. Alright, okay thank you very much.
Don Birak: Thank you, Andrea.
Operator: Your next question comes from the line of Mike Curran with Royal Bank.
Mike Curran - Royal Bank: Good afternoon, guys. I'm just wondering on San Bartalome, the difference between cash operating costs and total cash costs is $2.30. I believe the two kinds of line items for that difference are royalties and production taxes, if I'm correct. Can you give us kind of guidance what the split is between those two things?
Mitchell Krebs: Yes, sure. Hi, Mike. Production taxes, you're right, and royalties make up the difference between operating costs and total cash costs. The split between royalties and production taxes in 2008 is actually all royalties and no production taxes that went into that number. You’ll see in 2009, which is about the highest year; we’ll see as far as royalties in the mine plant at San Bartolome where that will be about a $2 total addition on top of the operating cost number to take both of those into account, and as far as the split between them in 2009, we don’t have that in our forecast at this time, but if you use $2 an ounce on top of the 650 that gets you to a total cash cost for ‘09.
Mike Curran - Royal Bank: Okay, great. Thanks a lot.
Operator: (Operator Instructions) Your next question comes from the line of John Tumazos with John Tumazos Very Independent Research.
Dennis Wheeler: Good morning, John?
John Tumazos – John Tumazos Very Independent Research: How are you?
Dennis Wheeler: Well, thank you.
John Tumazos – John Tumazos Very Independent Research: Congratulations on the metals prices. In terms of the Palmarejo startup, could you give us a timetable for the first several milestones and when you expect it to be producing full design throughput?
Richard Weston: Yes Dennis. I’ll answer that for you John. We have both (Inaudible) stockpiles of what comprises in. The repair and water available for commissioning; the challenge for each area is really to accept the talents and the electrical commissioning the plant has commenced, designing the mining plants with the introduction of ore into the moves and we expect to do that next week and the introduction of reagents into the systems, which is final commissioning of the plant. The final milestone will be the production of the first storage which we expect in March.
John Tumazos – John Tumazos Very Independent Research: When do you expect to meet the forecasted throughput at 2010 annual production rates?
Mitchell Krebs: It’s Mitch here, hi. The current plan for 2009 shows that we’ll be at those run rate levels in the month of July.
John Tumazos – John Tumazos Very Independent Research: Thank you. How much money are you spending this year to drill out more reserve and resource at Palmarejo?
Don Birak: John, this is Don Birak. Our budget for Palmarejo this year is a little over $8 million.
John Tumazos – John Tumazos Very Independent Research: Thank you.
Operator: At this time, I would like to turn the call back over to Dennis. Sir, please go ahead.
Dennis Wheeler: Thank you, operator. We’d like to thank all of you for joining us here on today’s call. We can assure you that our focus will remain resolute, our management of cash disciplined, we’ll be steady and we’ll continue to stay of course through some very interesting times with strong silver and gold markets and we look forward to reporting to you the progress that our new mines and other activities of the company. So thanks for joining us and look forward to keeping in touch.
Operator: This concludes today’s conference call. You may now disconnect.